Operator: Good morning, ladies and gentlemen, and welcome to the Ideal Power First Quarter 2025 Results Conference Call. All participants are in a listen-only mode. At the end of management's remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this event is being recorded. I would now like to turn the conference over to Jeff Christensen. Please go ahead.
Jeff Christensen: Thank you, Holly, and good morning, everyone. Thank you for joining Ideal Power's first quarter 2025 results conference call. With me on the call are Dan Brdar, President and Chief Executive Officer; and Tim Burns, Chief Financial Officer. Ideal Power's first quarter 2025 financial results press release is available on the company's website at idealpower.com. Before we begin, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and company prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company's SEC filings for a list of associated risks. We would also refer you to the company's website for more supporting company information. Now, I'll turn the call over to Ideal Power's President and CEO, Dan Brdar. Dan?
Dan Brdar: Thank you, Jeff. I appreciate everyone joining us today. I am looking forward to updating everyone on our progress since the start of the first quarter. I will briefly cover the key highlights from the start of the first quarter and discuss the most significant developments and little bit more depth and provide some context for their important. Then I will turn things over to Tim to discuss our financial results. We will be pleased to answer your questions after our prepared remarks. First, we complete the solid-state circuit breaker prototypes related for our first design win 3 months ahead of schedule. The customer completed their initial testing of these prototypes last month and we continue collaborating with them on their first B-TRAN enabled solid-state circuit breaker product ahead of its introduction to the marketplace in the coming months. Second, the potential new EV contactor program with Stellantis that we discussed in our year-end call, in late February was given internal approval at Stellantis and is advancing through their internal purchase order approval process. This would be our second program with Stellantis in addition to the drivetrain inverter program. Third, as we announced in our quarterly results press release earlier today, we secured an order from a third, Forbes Global 500 power management market leader interested in our technology for solid-state circuit breakers for power distribution systems. They're evaluating our technology for circuit protection for power distribution systems with a focus on DC microgrids for solar and wind. With the addition of this customer, we're now engaged with three Global 500 power management market leaders. Design wins with any of these companies could lead to several million dollars or more of annual revenue for us. Fourth, Sekorm, one of our demand creation distributors, secured an order for discrete B-TRAN devices, SymCool power modules and solid-state circuit breaker evaluation boards from a new customer focused on solid-state circuit breaker applications. Fifth, we shipped solid-state circuit breaker evaluation boards with B-TRAN discrete devices to several potential design win customers as we continue to gain significant momentum for our technology in industrial and utility circuit protection applications. And sixth, as we also announced in our press release earlier today, we secured a sales representative partnership with Queensland Semiconductor Technologies, also known as Quest Semi, which expands our reach into key markets in Europe and Asia. Quest Semi stands out for its silicon and high-voltage silicon carbide power semiconductor product offerings, serving markets such as electric vehicles, electric vehicle charging, renewable energy and industrial motor drives. Our products will be a complementary offering for Quest Semi to sell into their existing and prospective customer base along with their own product portfolio. Quest Semi partners with leading technology corporations and top tier universities for transformative applications. Let's briefly turn to what we are repeatedly hearing and seeing from customers, including prospective customers we talked to at the Applied Power Electronics Conference in Atlanta and the PCIM Expo and Conference in Nuremberg, Germany in recent weeks. There's clearly growing awareness and interest in our technology for solid-state circuit protection, both for industrial and utility applications and EV contactors. We expect solid-state circuit breaker customers, including our first design win customer, to drive our initial revenue ramp starting in the second half of this year. The market has wanted to move to solid-state circuit protection due to the rapid growth in distributed energy such as renewables and batteries and its benefits relative to slower acting electromechanical breakers, but there was not a solution that provided low enough conduction losses to make solid-state circuit breakers a practical solution. Due to its ultra-low conduction losses, we believe B-TRAN is the enabling technology that could result in widespread adoption of solid-state circuit breakers for many applications and markets. With the continued growth of renewables, energy storage and EV charging globally, there's a growing and increasingly urgent need to upgrade grid infrastructure to handle these distributed loads and new generation sources to avoid significant grid failures such as wide scale blackouts. To compound the problem, there has been a lack of investment in updating the grid infrastructure over recent decades with significantly outdated grid infrastructure in many places, particularly in the U.S. and the European Union. As an example, a recent article from Reuters stated while the global investment in renewables has doubled over the last fifteen years, the investment in the grid infrastructure has remained relatively flat at $300 billion a year. The same article went on to say that the European Union has estimated that Europe needs to invest over $2 trillion in its grid in the next 25 years. These grid investments will require fast acting solid-state circuit protection, creating an enormous opportunity for our technology in both the short and long term. The situation in the U.S. is similar as much of our grid is even older than Europe's. It is this need for major investments and upgrades in the world's electricity, transmission and distribution systems that is driving the interest of our target customers to develop low-cost, fast-acting, low-loss solutions for circuit protection equipment such as circuit breakers and protective relays. Our target customers are looking for a better semiconductor solution that doesn't rely on silicon carbide if they need to reduce cost and improve solid-state circuit breaker performance. Silicon carbide MOSFETs can't match B-TRAN's ultra-low conduction losses, which is critical to performance in continuously conducting applications like circuit breakers. We're repeatedly seeing customers that have already started evaluating silicon carbide, sometimes as part of formal programs looking for another solution. These prospective customers are starting to evaluate our technology because they see an opportunity to utilize B-TRAN to simultaneously lower costs and improve performance in their planned solid-state circuit breaker product offerings. A recent example of that is our first design win customer. The customer that awarded us this design win is one of the largest circuit protection equipment manufacturers in Asia, targeting industrial and utility markets, data centers and renewable energy applications. This customer previously developed a solid-state circuit breaker prototype with silicon carbide devices. The prototypes did not meet their performance or cost requirements. They had us replace the silicon carbide devices and controls in the prototypes. We inserted our B-TRAN devices and controls in place of the existing silicon carbide MOSFETs and driver circuitry. The B-TRAN enabled prototypes reduced the total conduction losses versus the silicon carbide prototypes by 60%. We completed these B-TRAN enabled circuit breaker prototypes 3 months ahead of schedule. The customer completed their initial testing of the prototype circuit breakers, which went well. We've been asked to incorporate some additional capability into the device drivers to accommodate some of the innovative ideas on the capability they want in the circuit breaker. That work will be done shortly, and the updated breakers will continue customer testing later this month. We're expecting commercial sales from that product later this year. As we previously mentioned and based on the customer's projections, for Ideal Power, the initial product from this customer could translate to revenue of several hundred thousand dollars to us in the first year of sales, with the opportunity to exceed $1 million in revenue for us in the second year of sales. But again, that's just the first product. This is expected to be the first of several products from this customer incorporating B-TRAN into solid-state circuit breakers. This customer offers a variety of circuit breaker products at different ratings. They're eager to bring innovative products to market, and we represent a fast path for them to bring a really differentiated, highly competitive solution to the marketplace. And our development agreement with this customer does not constrain us in any way from working with other companies interested in our technology for circuit breaker solutions. In fact, we can leverage the work we've done with this customer with current and future customers looking to provide the market with circuit breaker products. Now that we captured our first design win for solid-state circuit breakers, we expect this win to help us secure additional design wins with other circuit breaker customers. We've got multiple large global customers that we're working with who have our technology in their lab now and represent what could be significant design wins for us. Would only take a few key design wins to get us to profitability. Similar to the customer we just discussed, we're seeing customers looking for alternatives to silicon carbide devices, particularly for applications requiring very low conduction losses, such as solid-state circuit breakers, protected relays and electric vehicle contactors. Silicon carbide devices typically cost 3 to 5 times the cost of silicon devices. For high power applications that require very fast switching, silicon carbide devices can be a good but somewhat costly solution. For other applications, we believe that our lower cost paired with the ultra-low conduction losses for our technology provide us with a significant and sustainable competitive advantage to silicon carbide and circuit protection applications. In addition, due to lower losses, B-TRAN enabled solid tape circuit breakers require a smaller surface area or less complex thermal management systems to dissipate the heat, resulting in smaller, lighter, lower cost OEM solid-state circuit breaker solutions. Moving on to another exciting market for B-TRAN, electric vehicles. B-TRAN can be used for circuit protection in EV contactors, in the drivetrain for inverters and the EV charging infrastructure. Electric vehicles utilize a lot of power semiconductors. We're seeing a need to bring more cost effective, more efficient solutions to address today's challenges for electric vehicles, including safety, cost and range anxiety. Our technology directly helps in all three of these areas. Many OEMs and Tier 1s we're working with are interested in how our technology can be used for contactors that protect the batteries by providing fast acting control of power to and from the battery and EV subsystems. Since contactors are continuously conducting devices, they need a very low loss, fast acting semiconductor solution to protect the battery system from rising faults that can damage the battery and electronics in the vehicle. They're looking for better solutions that don't rely on silicon carbide because they need to improve performance and tackle cost at the same time as cost remains a major challenge for broad-scale electric vehicle adoption. Stellantis was involved in a program evaluating silicon carbide devices for EV contactors to protect the vehicle's batteries. When we met with Stellantis management, engineering and production teams back in February, we learned about this program from them and were told that the silicon carbide devices were not meeting their performance and cost requirements. We provided material to the Stellantis U.S. and European teams on how B-TRAN can provide the EV contactor solution they're looking for with better performance and lower cost devices than their prototype silicon carbide-based contactor. This immediately led to discussions with Stellantis about a potential program for B-TRAN enabled EV contactors, providing us with a potential second program with one of the world's largest automakers. Based on positive feedback from Stellantis on our technology and its applications and the success of the first 2 phases of our drivetrain inverter program, we expect to not only continue advancing the custom B-TRAN module for their EV drivetrain inverter, but also add a new high-priority program for EV contactors. We're pleased to announce that the EV contactor program has been approved internally at Stellantis up through and including their Chief Technology Officer. We've already provided them a scope and cost for the program for review. Our focus is to finalize the deliverables and schedule for the program and provide any additional information they need as they go through their formal purchase order approval process for this high-visibility program. While they have identified the contactor program as a high priority, we continue to work with them on the timing and scope of work for the third phase of the inverter program. The contactor program with Stellantis is expected to move faster than the drivetrain program because B-TRAN value proposition for EV contactors is similar to that of solid-state circuit breakers, very fast acting, safer and more reliable with programmability and diagnostic capability, and B-TRAN is an enabling technology for the application. We're extremely excited about this new program as the implementation of EV contactors is not nearly as complex as undertaking and implementing a new EV drivetrain platform. This program would meaningfully accelerate our timeline to substantial product revenue from our relationship with Stellantis. In addition to our work with Stellantis, we're also progressing with other prospective automotive customers. As an example, we're collaborating and recently shared initial test results with a global Tier 1 automotive supplier on an alternative solid-state circuit breaker design that they conceived to lower cost and potentially simplify their breaker design compared to the standard approach for solid-state circuit breakers. This Tier 1 automotive supplier has a broad product portfolio and sells into not only automotive, but industrial markets as well. There are likely several potential opportunities with this customer, including opportunities for both solid-state circuit breakers and EV contactor products. Moving on to the macro level, some investors have expressed concern related to the recently enacted tariffs and shifting trade policies. While the trade situation is very fluid, we expect minimal impact from tariffs in place today. Power semiconductors are exempt from most tariffs currently in effect, including those applicable to the countries where we fabricate wafers and package B-TRAN dye. This limits the potential impact on us. There's also been no slowdown whatsoever in terms of customer engagement and customers' interest in our technology for their future products. Although the situation remains dynamic, an example being the significant reductions in tariffs with China in recent days, we're well positioned to mitigate the impact of future changes in tariffs and trade policies and other supply chain risks. Ideal Power utilizes an asset-light business model, leveraging the large investment already made in silicon wafer processing and packaging. We are dual sourced for essential supply chain activities such as wafer fabrication and packaging in different parts of the world with ample capacity to support anticipated customer demand over the next few years. Our dual-sourcing strategy in disparate geographies has no exposure to China. In this environment, we remain focused on our execution. We continue to have excellent engagement with our customers on their technology roadmaps and we're actively working to ensure our supply chain is geographically diverse down to the component level to mitigate cost and revenue impacts of tariffs and minimize the impact of any future supply chain disruptions. Looking briefly at innovation, the first engineering run of our next generation B-TRAN dye was successfully completed, and we currently have multiple engineering runs in fabrication for our next generation design. As you may recall, this dye will be roughly half the size of the current dye, translating to more than twice as many dye per wafer, while providing the same voltage and current rating capability as our current device. This next generation B-TRAN dye design is part of our long-term cost reduction roadmap. Implementation of next generation dye design will effectively double the available capacity of dyes from our wafer fabrication partners, thereby supporting our planned sales ramp and large volume target customers for the industrial and automotive markets. Looking at our expanding B-TRAN patent estate, we currently have 94 issued B-TRAN patents with 45 of those outside of the United States. Our current geographic coverage for our patents includes North America, China, Taiwan, Japan, South Korea, India and Europe, all representing our high-priority patent coverage geographies. As a result of our continuous innovation, our list of pending patents is now at 70. To further protect our intellectual property, we treat the proven double-sided wafer process flow we developed to make our devices as a trade secret and do not disclose identity of and we work under strict confidentiality with our wafer fabrication partners. So even if a competitor studied our patents, they wouldn't have the knowhow to fabricate the device. In summary, we're excited about the opportunity for B-TRAN as enabling technology for solid-state circuit breakers and EV contactors and that our relationship with Stellantis continues to expand. We think 2025 is shaping up to be a pretty exciting year for us with additional design wins in the coming months and our initial revenue ramp beginning in the second half of this year. We've got several things in the works that I think are going to be some great commercial announcements, so please keep an eye on the news flow that's going to be coming out from us in the coming months. Now I'd like to turn the call over to Tim Burns to review our financials. Tim?
Tim Burns: Thank you, Dan, and good morning, everyone. Our first quarter 2025 cash burn was $2.1 million up from $2 million in the first quarter of 2024 and down significantly from the $2.6 million cash burn in the fourth quarter of 2024. Our Q1 cash burn was below our guidance of $2.2 million to $2.4 million due to the timing of spending and related payments. We continue to manage expenses prudently and aggressively. We expect second quarter 2025 cash burn to increase to approximately $2.5 million to $2.7 million with the full year 2025 cash burn over $10 million with the increase primarily due to 2024 and planned 2025 hiring. This compares to a 2024 cash burn of $9.2 million excluding the benefit of warrant proceeds. Cash and cash equivalents totaled $13.7 million at March 31, 2025. We have no debt in a clean capital structure. We recorded modest revenue for the first quarter of 2025 as customers continue to evaluate our technology. While initial orders from the large companies evaluating our products for potential inclusion in their OEM products will be small, we expect order sizes to increase as customers start to prototype their OEM products and progress through their design cycles and roll out B-TRAN-based products. Looking at the second quarter of 2025, we expect to see modest volume in commercial revenue from product sales with our revenue ramp starting in the second half of 2025. Operating expenses were $2.8 million in the first quarter of 2025 compared to $2.5 million in the first quarter of 2024. We expect both research and development and sales and marketing spending to increase modestly in the coming quarters due to recent and future hiring and costs associated with our development and commercialization efforts. We also continue to expect some quarter-to-quarter variability in operating expenses, particularly our research and development spending, due to the timing of semiconductor fabrication runs, product development, other research and development activities and hiring. The timing of equity grants and related stock-based compensation expense recognition will also cause variability in our quarterly operating results. Net loss in the first quarter of 2025 was $2.7 million compared to $2.5 million in the first quarter of 2024. At the March 2025, we had 8,347,970 shares outstanding, 988,140 options and stock units outstanding, 763,827 pre-funded warrants outstanding and 342,240 warrants outstanding. The remaining warrants have an exercise price of $8.9 and are set to expire in August of this year. If exercised in full, the exercise of these warrants result in $3 million of proceeds to the company. At March 31, 2025, our fully diluted share count was 10,442,177 shares. At this time, I'd like to open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question for today is from Casey Ryan with WestPark Capital.
Casey Ryan: Good morning, gentlemen. This is exciting report and update. I just had a couple of questions. Can you talk a little bit about the Sekorm, Advanced Technology bullet point that you provided? It sounds like they've secured an order, but are you able to talk about when you ship against it, I guess, and then when the corresponding revenues would occur already occurred in Q1 or is that something that's coming over the course of FY 2025?
Tim Burns: Yes. So that order, we just started shipping, it's partially fulfilled right now. It's a good opportunity for us obviously in the market. It's another one of these transactions that could result in a design win here later on in the year. So we're getting real good traction from our distribution partners and it's really on the demand creation side in terms of introducing us to new customers that want to evaluate our technology. While they are involved in order taking, for some, it's just really the introduction and we kind of run with it from there. So it really does create a lot of opportunities for us.
Casey Ryan: Okay. All right. Terrific. And so some of the shipments were in Q1, is that what you're saying? And then some are coming in Q2, Q3?
Dan Brdar: Right.
Casey Ryan: Okay. Okay, terrific. And then all the progress with Stellantis is very encouraging. I think you mentioned that you're moving to the PO process at Stellantis. For those of us who are unfamiliar, including myself, what does that mean in terms of time? Not that you exactly, but what are your expectations for that process to sort of take that sort of a multi-quarter thing or something that can move rapidly or maybe longer than what I'm thinking?
Dan Brdar: Yes. Stellantis, because they've come together as a result of all these acquisitions and mergers. They are a big company with a lot of bureaucracy, but what they've emphasized to us repeatedly is because they already had a program underway and are kind of having to shift directions, this is a high priority program for them. So I think we're going to see this in a relatively short-time period compared to what things normally happen in Stellantis. It will probably take several weeks to get through that process, but it's not something that we're going to be looking at a couple of quarters from now still waiting for. We think it's going to be in the Stellantis timeline relatively near term.
Casey Ryan: Okay. And then when that process is over, what is able to happen? They're actually to pull in, I guess, live samples at that point? Or is that indicating something more widespread, I guess?
Dan Brdar: It's actually a program that has been laid out that has us working with a company that's working on the controls for the contactor. There's a scope on design, there's a scope on testing, there's scope that includes shipping devices that get tested in their labs. It's we don't know yet is are they going to structure it as like a multiphase program like they did with the inverter program or is it going to be all in one phase? Because they sound like because of the priority of the program, it might just be a release for the full program, particularly since the contactors are less complicated than an EV drivetrain.
Casey Ryan: Right. Okay. Okay. And then, if you can, where do these opportunities with Stellantis end, say five years down the road? Does it end with Ideal Power sort of providing contactors and maybe EV drivetrains to sort of all Stellantis vehicles or sort of a subset of and EVs is what I'm focused on at this point. But I mean, do we still have to get designed into certain vehicles even if we're sort of approved and sort of accepted by Stellantis corporate essentially? What's kind of the end game here in terms of the opportunity? I feel like it's big, but I'm just how we sort of describe it down the road.
Dan Brdar: Just so everybody understands, we won't be providing the contactor or the drivetrain. We'll be providing the semiconductors to go into those. But the way Stellantis is approaching this, which is the way we see most of the established automakers doing it is they're looking to create a platform that they can take across multiple models and multiple brands because they don't want to have each one be different. So for example, the work we're doing with them on a drivetrain will address vehicles that will be in a variety of the brands that are similar sized vehicles across multiple markets. So they're trying to really make sure that they're being as efficient and getting as much leverage out of the design work that they can, so that there's a there literally is a platform that they work from. So for us, the win gets you into multiple vehicles and multiple brands in Stellantis.
Casey Ryan: Okay. All right. Terrific. That's really encouraging actually, really sort of a good vision for where this can go. And then you mentioned I think you mentioned opportunity with another OEM for auto. Is that accurate? And then would we get any maybe clarification on which product that was for? I think you said it was for EV contactor, but I just wanted to double check that.
Tim Burns: Yes. So there's a second opportunity with a large global automaker that's specific to EV contactors. So we're still deeply engaged with that automaker. And then there is a third automaker that we are still engaged with, had they have not made a decision internally where they would like to apply the device. We've talked to them about both the EV contactor opportunity and the drivetrain inverter program. That's another top 10 global automaker. And then we're engaged with several Tier 1 automotive suppliers. I think some of the EV manufacturers rely on their Tier 1s to bring them those subsystems. So we would sell our technology to the Tier 1. They would put it into, for instance, a drivetrain inverter that they would then ultimately sell to the EV or automotive manufacturers themselves.
Casey Ryan: Right. Okay. Okay. Well, I think those are really helpful answers and I think the opportunities look significant. So this is a great update and thank you for taking my questions.
Dan Brdar: Our pleasure, Casey. Good talking to you.
Operator: I will now turn the call over to Jeff Christensen to read questions submitted through the webcast. Thank you.
Jeff Christensen: Thanks, Holly. Gentlemen, the first question is, do you have any comments on Wolfspeed's financial challenges as they are the leader in the development and manufacturing of silicon carbide devices?
Dan Brdar: Yes, good question. It's really kind of unfortunate what's happened there. I mean Wolfspeed has spent decades developing silicon carbide and getting it commercialized. But it really highlights why we are so focused on an asset-light business model. Wolfspeed's challenges, they've got they've got $1.3 billion in cash, they've got $6.5 billion in debt, because it's an asset-heavy model. I mean, they own the fabs for the things that they're doing. I think, honestly, the debt that they've got coming due will probably be restructured. They're going to have to find a longer-term solution though because the asset-light business model is a very challenging one. It takes a lot of capital and it requires really high level of asset utilization. So I think it really, at the end of the day, highlights why we are sticking so closely to the model that we have and why, on our presentation, we say that not only are we fabless, we'll never own a fab. We're really leveraging that enormous investment that's already been made in wafer fabrication and packaging for silicon devices.
Jeff Christensen: Thank you. Yes, we have several questions have been submitted by our shareholders and we look forward to answering your questions. Please continue to post them. Our next question is, in light of the recent tariff wars, are there any plans to certify any domestic chip manufacturers to make your product?
Dan Brdar: Right now, we don't need to do that. The tariffs really aren't impacting us, as I've mentioned in my earlier remarks, since power semiconductors are exempt from the tariffs. It gives us plenty of capacity. But if we do need to go to a U. S. fab, we know kind of where we would go. We did our development work actually here in the U.S. at a fab own by Teledyne, and we know what fab in the U.S. would be a good fit for us. But right now, folks say there's really no tariff impact for us that would require us to go do anything here domestically.
Jeff Christensen: Thank you. Please provide color on the SymCool pipeline.
Tim Burns: Yes. So SymCool is actually a vast majority of our pipeline. When we talk about engagements, when we talk about Forbes Global 500 power management market leaders, they're typically looking at the SymCool power module. They could potentially use discrete devices for smaller breakers, but I would say overwhelmingly the interest is in SymCool. We expect design wins here that we'll be announcing to incorporate that SymCool product. So the market reception has been great. And I think the yes, just to reiterate, except for the smaller commercial and industrial breakers, SymCool will be the product of choice for those at application.
Jeff Christensen: Thank you. Our next submitted question is of the prospective customers that engaged with Ideal Power, how many are no longer involved and have you lost some programs in your pipeline and why?
Dan Brdar: We haven't lost anybody that we've been working with. It's challenging at times when you're working with these very large companies because they do move very slowly, but we haven't lost anybody that's engaged with us.
Jeff Christensen: Thank you. What will it take for you to get to cash flow breakeven?
Tim Burns: Yes. For us, it depends on the mix, but it's really just a few key design wins. I mean, these are very large companies. The design win could be millions or even in excess of $10 million in terms of what the annual revenue could be to Ideal Power. So it would just really take a few key design wins to get us there.
Jeff Christensen: Okay, thanks. Our next question is, how long is the sales cycle for your products?
Tim Burns: So it varies completely by customer. I mean, the typical process goes from educating the customer on the technology, then we go through and actually provide them with product. They typically order products. Sometimes we provide them with solid-state circuit breaker reference design, if that's their application of choice. They go through testing. We provide testing data that they always request from us. So that's part of the process. And then it gets into them deciding kind of on the product that they're looking for, what they potentially want to prototype. And it gets all the way through obviously design win and then rollout of the product, which I mean, they have some work to do between when they decide on proceeding and actually getting it ready for production. So I would say for industrial customers, ignoring that front-end education piece, it's about roughly 12 months, but it can vary widely by customers. Some customers are aggressive like our first design win customer is moving at a very fast clip. With some of these large companies, it's taking a little bit longer.
Jeff Christensen: Thank you. Our next submitted question is why is now a great time for the company?
Tim Burns: Yes, I would say it's because we're really on the cusp of having some significant commercial announcements. I mean, we're making great progress with Stellantis. We've announced our first design win, but we expect to have more to follow. Some of them with very large companies that could be really large revenue opportunities for us. So I mean, we spent a decent amount of time developing this technology. It's very novel. But it really has some significant competitive advantages and we expect to be able to show that to people in the form of commercial announcements here as we progress.
Jeff Christensen: Thank you. The next question is, what is the expected value of Ideal Power technology in electric vehicles?
Tim Burns: Yes, that's in our presentation. So it's about we still estimate it's roughly $1,100 per vehicle and that includes multiple applications within the EV. So within the drivetrain, with EV contactors on the circuit protection side, the onboard charger. The EV contactor alone is probably $200 to $300 per vehicle. So it's a great opportunity for us. And that opportunity is really exciting for us because one, we have a significant competitive advantage over silicon carbide MOSFETs or IGBTs. And the second thing is implementing EV contactors. It's just a much simpler process and much shorter process than being part of an entirely new drivetrain.
Jeff Christensen: Thank you. Our next management question is when will auto certification be completed?
Dan Brdar: We're targeting the end of this year, sometime in the fourth quarter to get it done. That process has actually been going very well. We've gone through several of the key parts of that certification process already without any dye failures. Part of why it takes so long is there are a whole variety of tests you have to go through, including some that, for example, take tens of thousands of power cycles, lots of exposure to heat and humidity cycles and so forth. But we're still on target to get that done this year. It is one of our milestones, and we're happy with the way it's going.
Tim Burns: And it's not a gating item for any of the electric vehicle opportunities. And we really think it has the opportunity to accelerate the pace with option of our technology in industrial applications just because it's a much higher standard, different extremes in terms of humidity and temperature, things like shock and vibration that aren't even tested in industrial standards. So we really think it will get it can be conservative industrial customers. It can help with those customers in terms of getting over the finish line. So we're excited for that to happen here later this year.
Jeff Christensen: Thank you. The next submitted question is any conversation with Slate, the new Bezos pickup truck company?
Tim Burns: Yes. So generally, when we're engaged with customers, they don't want their competitors to know what they're doing. So they generally request even for initial conversations, an NDA be put in place. So we can't speak specifically to any the only customer that's allowed us to name them to date is Stellantis. So as it relates to specific opportunities with specific companies, unfortunately, we can't really share any detail on that.
Jeff Christensen: Thank you. The next question is, in your press release with the first design win deliverables, it was mentioned that it included lighting and air conditioning systems. Is this a new market that you have not mentioned before? Also do you know what Ideal Power's serviceable addressable market would be if you were selling B-TRAN's devices into those markets?
Dan Brdar: Yes, it's actually part of what we generally consider the industrial market for circuit breakers. Utility breakers tend to be very large, but there's a lot, in fact, if you look at the total number of breakers that are sold, there are more that are actually sold in the industrial size that tends to be smaller. So we've actually already kind of taken a good look at where the opportunities are. And it's not just lighting and air conditioning. It's just power coming into manufacturing facilities. It's providing circuit protection for sensitive equipment. So we view that as part of that overall industrial breaker market that we referred to. And it's about $1 billion market on the breaker side for us.
Jeff Christensen: Thank you. Next question is, is the company aggressively promoting solid-state contactors that opportunity to all EV manufacturers?
Dan Brdar: It really kind of is mission number one here, because now that we're particularly once we are able to formally announce the purchase order with Stellantis, we really have already started going out to all the Tier 1s and to folks that are in the EV business. Part of why we put relationships in place with folks like Quest Semi that have their own auto relationships because we view that as just such a big opportunity where we can really leverage everything we're doing and learning from Stellantis and don't have to start from scratch with coming up with designs that fit the application. So it's a pretty high priority for us as well as the just solid-state circuit breakers for industrial and utility applications as well.
Jeff Christensen: Okay. Thank you. Yes. Lots of questions and please continue to submit your questions. The next submitted question is, what kind of impact do you think the auto qualification will have in the as it relates to customers outside the auto industry?
Dan Brdar: It's a pretty positive impact. If you're an industrial customer, if you can buy a part that's actually been through auto certification, it speaks really highly to the robustness of the product. Because in just two applications, you think about a breaker sitting at a utility substation, if the devices that are in it have already been through shock and vibration testing and extremes in environment testing, it can certainly do well in the environment where the conditions are less demanding. So it sends a very positive message broadly to any potential industrial users.
Jeff Christensen: Thank you. What's the power rating increases you're working on and the significance of them?
Tim Burns: Yes. So we haven't announced the specific rating increases yet. Obviously, that's one of our 2025 milestones, so that will happen here later this year. But I mean, it's really a win for both us and the customers. So when we're increasing our rating, this is not due to a design change, it's not a new product necessarily. It's really us getting comfortable. We intentionally set the bar kind of well in terms of what we rated our products at. And that was because you don't want to have challenges early on with customers where you overpromise and underdeliver. So for instance, on the SymCool, we've already increased here last year the rating from 150 amps to 200 amps. We're expecting to increase it again. And what that means for a customer, if you're building a larger breaker and you're using 250 amp or 300 amp devices rather than 200 amp devices, you need less of them for your OEM product. So it's a cost benefit to them. It allows us to get a little bit more of a premium because generally the cost of the devices connect -- or the selling price of devices connected to the power rating of the device. So it's really a win-win for us and we'll be providing more detail here later this year when we formally roll out the new ratings.
Jeff Christensen: Thank you. That concludes our question-and-answer session. I would like to now turn the call over to Dan Brdar for closing remarks.
Dan Brdar: I just want to thank everyone who joined us on the call today and for all the really good questions. Our news flow before our next update call will continue to focus on commercialization and customer engagement activities, and we look forward to updating you on our progress. Operator, you may end the call.
Operator: [Operator Closing Remarks]